Operator: Good morning, and welcome to the Park-Ohio First Quarter 2019 Results Conference Call. [Operator instructions] Today's conference is also being recorded. If you have any objections, you may disconnect at this time. Before we get started, I want to remind everyone that certain statements made on today's call may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the earnings press release as well as in the Company's 2018 10-K, which was filed on March 5, 2019 with the SEC. Additionally, the company may discuss adjusted EPS and EBITDA as defined. Adjusted EPS and EBITDA as defined are not measures of performance under Generally Accepted Accounting Principles. For a reconciliation of net income to adjusted earnings and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA as defined, please refer to the company's recent earnings release. I would now like to turn the conference over to Mr. Matthew Crawford, Chairman and CEO. Please proceed, Mr. Crawford.
Matthew Crawford: Great. Thank you for joining us this morning. Excuse my voice. The allergies this spring have gotten the better of me. With me this morning will be Ed Crawford, our President; Pat Fogarty, our Chief Financial Officer; and Bob Vilsack, our Chief Legal Counsel. We got off to a solid start for 2019. We grew nicely year-over-year and also exceeded our internal forecast for the first quarter. I want to focus on 3 things before turning the call over to Pat. First, we continue to focus on growth. After growing 17% during 2018, we expected a more moderate acceleration in the first half of 2019 as we digested those opportunities. Having said that, our key strategic efforts are on track; Supply Technologies saw continued improvements in aerospace and MRO; Engineered Products continued to see solid, and in some cases, increasing backlogs; and Assembly Components is on front -- on the front end of over 50 product launches, which Pat will discuss in a few moments. The bottom line is that we're on track to meet our run rate goal of $2 billion by 2021. Secondly, our quality of earnings continued to expand. While sales improved 4%, adjusted operating profit increased 6% and adjusted EPS increased 9%. These are solid improvements, particularly in light of the increasing costs of many of our inputs, labor related, tariff related or raw material related. Our leadership is working feverishly to protect our customers from these increases. But in some cases, price adjustments have been inevitable. We do expect, as the year goes on, to receive some important help to our margins as our product launches become more material to the bottom line. We have a high degree of confidence as we'll begin in earnest during the second half. Thirdly, our efforts to improve our balance sheet are on schedule. Total debt decreased by about $20 million, and then after financing, over $70 million of growth in working capital and CapEx during the last 12 months. Additionally, we're coming to the end of our reinvestment period and expect capital expense numbers to moderate as the year goes on. Lastly, while we do not expect a significant acquisition at this time, we are pursuing several strategic opportunities, which we would expect, if completed, to be accretive to our 2019 performance. I'll now turn the call over to Pat Fogarty, our Chief Financial Officer.
Pat Fogarty: Thank you, Matt. Overall, our first quarter results were ahead of our internal expectations and a good start to 2019 on a number of fronts. First quarter sales and earnings were up year-over-year with GAAP and adjusted earnings per share up 15% and 9%, respectively. We ended the quarter with $253 million of liquidity, including cash on hand of $48 million and $205 million of borrowing availability under our global banking arrangements. Our strong liquidity position will enable us to continue to make strategic acquisitions and provide the necessary capital to support the organic growth that we see in our businesses. Also, we initiated profit improvement actions, which will enhance our margins throughout the year. And finally, new business activities are strong in each of our segments and will positively impact revenues beginning in the second half of 2019 and beyond. During the quarter, our net sales were $420 million, an increase of 4% year-over-year. Of this increase, approximately 2% was organic growth and 2% was due to acquisition growth. Consolidated gross margins in the first quarter were 15.5% compared to 16% a year ago. The decrease was due primarily to one-time charges, totaling $1.4 million related to 2 plant closings in our Assembly Components business. Excluding those charges, gross margin in the quarter would've been 15.9%. SG&A expenses were $42.8 million compared to $43 million a year ago. As a percentage of net sales, SG&A expenses were 10.2% compared to 10.6% in the 2018 period. Operating income was $22.5 million in the first quarter, a slight increase of 2% from $22.1 million last year. On an adjusted basis, first quarter operating income was up 6% compared to a year ago and 2% sequentially. Interest expense was down slightly to $8.2 million in the quarter. A decrease in interest expense reflects the impact of lower average borrowings during the first quarter resulting from our ongoing efforts to reduce debt levels. Our first quarter effective tax rate was 25.4%. We continue to expect full-year effective tax rate of 26% to 28%. Our GAAP earnings per share increased 15% in the first quarter to $0.90 compared to $0.78 last year. On an adjusted basis, EPS was $1.01, up 9% from $0.93 in the prior year quarter. EBITDA as defined was $35 million compared to $35.4 million a year ago. Operating cash flows in the first quarter were $7 million. Historically, the first quarter is our lowest operating cash flow quarter of the year. For the full year 2019, we continue to expect operating cash flows of $60 million to $70 million. CapEx in the quarter was $10.6 million in support of growth projects in our Assembly Components and Engineered Products segments. These investments related to the purchase of equipment needed to support newly awarded programs in our aluminum, molded and extruded rubber and fuel-related businesses. Also in our Engineered Products segment, we're in the final stages of completion of our new forging line in our plant in Arkansas, which we expect to be operational in the fourth quarter of this year. For the full year, we expect capital expenditures of approximately $30 million. Turning now to our segment results. In Supply Technologies, sales were up $4.4 million, an increase of 3% year-over-year. This sales growth was driven by higher customer demand in the heavy-duty truck and truck-related markets, which were up 37% year-over-year, and the aerospace and defense market, which was up 21% year-over-year. Our first quarter average daily sales were at their highest level over the past 5 quarters despite lower demand in certain end markets domestically and soft demand in our China locations. Operating income in this segment increased to $13.1 million from $12.5 million a year ago, an increase of 5%. Operating margins as a percentage of sales were 7.9% in 2019 compared to 7.8% in the 2018 period, and up 7.6% in the fourth quarter of 2018. Moving to our Assembly Components segment. Sales were down 5% year-over-year, driven primarily by anticipated end-of-life programs, primarily in our Fuel Filler Systems business. We continue to develop and win new business in each operation within this segment, which will positively impact our results in the second half of the year and in future years. We are currently launching over 50 newly awarded programs spread across our fuel, rubber and aluminum businesses that will add over $125 million of revenue, most of which is incremental to today's run rates. We continue to see high levels of quoting activity for our products in this segment resulting from more stringent global emissions regulations, which include light weighting, cooling applications and direct injection technologies. Segment operating income margins declined year-over-year from 8.7% in the first quarter of 2018 to 6% in Q1 of 2019. The decrease in margin year-over-year was due primarily to lower sales volumes, the $1.4 million of plant closing costs previously mentioned and under absorbed costs related to our 2 new production facilities in China. Compared to the fourth quarter of 2018, our operating margins were 7% in both quarters after adjusting for the nonrecurring plant closing costs. We expect improvement in operating margins throughout the year as production levels increase in many of our operations and various margin-improvement initiatives begin to positively impact our profitability in this segment. In our Engineered Products segment, sales in the first quarter were up 17% compared to a year ago, driven by a combination of organic growth of 12% and 5% from the acquisition of Canton Drop Forge. The organic growth in this segment was driven primarily by increased demand for our induction melting and hardening equipment, primarily in our U.S. locations and in our Forged and Machine products business. The Canton Drop Forge acquisition continues to perform well, driven by the strong demand in the aerospace and oil and gas markets. Bookings of new equipment and current backlogs in this segment continue to be strong, with first quarter bookings up 28% over the first quarter of last year and up 66% over new equipment orders in the fourth quarter of 2018. Operating income in this segment was up significantly from $5.7 million in the first quarter of 2018 to $8.1 million in Q1 of 2019. Operating income margin was 7%, an increase of 130 basis points year-over-year. These increases in year-over-year profit and margin were driven by higher sales, resulting in an incremental flow-through margin in the segment of 14%. Corporate expenses were $7 million in the quarter compared to $8.7 million last year. The decrease in expenses was due primarily to lower professional fees and reduced employee-related expenses. And finally, with respect to our 2019 guidance, we are reaffirming our adjusted EPS guidance range of $4.30 to $4.60 per diluted share. Now, I'll turn the call back over to Matt.
Matthew Crawford: Great. Thank you very much, Pat. Excuse me again for my voice. We'll now open it up to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Edward Marshall with Sidoti & Company. Please proceed with your question.
Edward Marshall: Hey good morning guys. How are you?
Matthew Crawford: Good morning. 
Edward Marshall: Good. So I wanted to ask about the Assembly Components. You talked about some end-of-life programs there, but looking at global auto down about 6%, you performed a little bit better than that. I'm wondering about maybe the ramps and new programs, the share gains you might be having, growth in China, kind of that -- you've outperformed. But just trying to get a sense as to maybe what drove that outperformance.
Matthew Crawford: Yes. I would first tell you that our -- this is Matt. And I would tell you that our exposure to mostly SUV product and truck product winds up well with the better performing parts, particularly of the NAFTA region. So while I agree with your assessment of the overall, you saw our results, I think that we have made investment in the right parts of the market. And so our partners continue to do fairly well. And the platforms we're on continue to do fairly well. More broadly, your question about China, we have, without question, seen some softening in our expectations for the businesses we've launched there. That is not because we don't believe that, strategically, our investments have real secular wind behind them. Both our investments in direct injection technology as well as our investment in extruded hose and other related products are right in line, I think, with the agenda of the Chinese government to reduce emissions and increase environmental sensitivity. So I like where we are, but unquestionably, the softness there and some of the inventory correction in the pipeline has led to, at least at the moment, softness, well in excess actually what you see as a headline number in China. So we're fighting our way through it. We still like where we are strategically. But it is -- that ramp has slowed somewhat significantly. On the positive side, one of the reasons we know we like where we are strategically is, we continue to see robust quoting activity in China. We continue to see a broadening of the types of customers we're doing business with. When I say that, what I really mean is we started our business there mostly with the global OEs and their joint venture partners. Today, we see a lot of activity with sort of Chinese national name plates. So I like where we are. But unquestionably, it is -- slowed our progress in China.
Edward Marshall: Got it. And do you mind providing kind of the mix of SUV, light truck versus kind of passenger vehicles? Maybe where it is today? And maybe where it was about 5 years ago?
Matthew Crawford: Yes. No, that's a good question. I mean we're certainly heavier into light truck -- or light SUV and truck than what the blend is on the SAR. Having said that, that's an almost impossible number for us to get to because in many cases, we're Tier 2 and Tier 3. So our instinct tells us we're weighted, at least for the moment, where we want to be. But it's almost impossible to get to that number, candidly. And I would say though from a high level, my sense is as we are a few points heavier in truck and light SUV now than we were a few years ago, as you recall, back in those days, we're chasing programs like the Dart and other things that we're sort of in the mid-and small car range. We are still on some of those platforms. But we moved away from some of them.
Edward Marshall: Got it. The -- although OEMs are pointing to a second half recovery, you had some, I guess, more positive comments in the second half of the year as it relates to, I think, broadly, your whole business. But as a respect to Assembly Components, do you kind of see those in the purchase orders with the second half recovery as it relates to auto?
Matthew Crawford: Yes. I mean we're seeing the forecast hold up reasonably to what our forecast were internally. We're all -- we always try to be a little bit conservative, so we've given ourselves some wiggle room. So at this point, we're not overly nervous about what they're suggesting. Having said that, our optimism is less around 100, 000 cars here or there or trucks or SUVs and more about the product launches that Pat discussed. That's why we're optimistic, that's why we're excited, that's why we're anxious to see volumes in those locations, particularly in some of the newer investments will have an outstanding impact on our operating leverage and our quality of earnings, which as I commented, is the sort of the second pillar of our agenda this year. Those could end up being good or great depending on how the volumes hold up.
Edward Marshall: Got it. And speaking of Supply Technologies and we've seen a lot of different positives and negatives around the industrial economy throughout this earnings season. I'm just curious, you're a pretty good barometer being so broadly to industrial -- global industrial OEMs. Without identifying any specific customers, maybe can you talk about -- and this is a tougher question, but what you're seeing across the global industrial economy, pockets of weakness, pockets of strength, just to give us a sense as to your served region and the expectations maybe for the balance of the year?
Pat Fogarty: Yes. Ed, this is Pat. I would say the first quarter was a pretty volatile quarter relative to a number of our end markets. We highlighted two end markets that were up significantly year-over-year, and -- but we did see other markets that were down, and I would highlight the semiconductor market as one, which did affect our business in our locations in China. I don't think that would come to a surprise to anybody. Some of the volatility was solely a result of product changeovers that were occurring in the first quarter. That's often the case in -- with many of our customers. So -- but I would say just year-over-year, there is a lot more volatility, especially in the start up of 2019. We saw volume strengthen throughout the quarter. And March was a very positive quarter for that business.
Edward Marshall: And as we look into April now that April is complete, any kind of perspective that you can add into April? Did the strength that continued into March, did that momentum carry into April? Did it weaken? Did it strength -- or soften?
Pat Fogarty: Yes. I would say that April was where we expected when we put our forecast together. So no big swings either way in the month of April.
Edward Marshall: Thank you very much.
Operator: Thank you. Our next question comes from the line of Steve Barger with KeyBanc Capital Markets. Please proceed with your question. 
Steve Barger: Hey good morning. Guys. 
Matthew Crawford: Hey Steve. How are you?
Steve Barger: I'm good. Sorry here about your allergy. Bad time here. 
Matthew Crawford: It's around here especially. 
Steve Barger: Back to China, can you talk through growth rates for domestic Chinese brands versus Western brands? Maybe where they've been and where you think they're going? And how much of your mix is domestic China?
Matthew Crawford: Well, right now, I'm talking mostly about quoting activity. There are some awards. I would still say that the -- in 2019, we'll still see the vast majority of our volume be related to the non-Chinese nameplates. But having said that, I think there's a lot of activity there, a lot of -- we landed some business, some very robust quoting activity. And it remains to be seen, Steve. I have to say, as you know, we've been very prudent about our investments there. We talk a lot about the opportunities there, but we scaled our investment, I think, prudently to recognize that a lot of people -- a lot of different OEs are expecting a lot of demand. It's yet to play out where or how that consolidation will occur if it will occur, when will it occur and where those volumes end up. So we're pretty -- I think trying to be pretty savvy about not pricing things or thinking about volumes at the way we're being asked to quote. So I would say it's too early in the story to answer your question. First, because I think a lot of it is more quote activity than launched business. And secondly, because it'll be a shame to see if some -- how well some of these Chinese brand do in the marketplace.
Steve Barger: Yes. I mean that really goes to the follow-up. Are -- can you generate similar returns there as you do for international OEMs? And how do you think about the risk to taking domestic programs versus remaining focused on the historical customer mix?
Matthew Crawford: No. I think it's a tremendous opportunity. I mean they are being pressured. The Chinese OEs are certainly making very aggressive investments and moves into the mainstream there. Traditionally, as you know, it's been a very western market. I think that's undeniably changing. I think that the price points will be different likely, but I think our products, by positioning ourselves to be part of this secular emissions standard thing, I think what we've positioned ourselves to do well even if their cars sell at a lower price point. Having said that, we also -- it's one thing for Beijing to regulate some of these standards. It's another thing for the OEs to be compliant. So this battle is sort of playing out on the ground every day, and we're trying to partner with those people that are most aggressively trying to meet compliance standards and build a real business competitive to the Western brands.
Steve Barger: Understood. Switching to Engineered, I think you said there were backlog increases. Where are you seeing -- what product sets are you seeing backlog grow there? And how is pricing on those new bookings?
Pat Fogarty: Steve, this is Pat. Where we saw booking levels increase was primarily in our U.S. markets, primarily in our channel furnace product lines, which is in the melting side of the business, which -- this type of equipment historically has been equipment that we're obviously very familiar with; generally come at higher margins than the hardening equipment side of the business. So we're optimistic that we'll be able to burn through this backlog at higher margins than what we've seen over the last several quarters.
Steve Barger: And I know that some of these products sometimes can take multiple quarters to get out. Should we be thinking you can drive sequential improvement in Engineered margins through the year?
Pat Fogarty: I think that's -- that is the plan.
Matthew Crawford: And I think that's related to the backlogs. And as Pat pointed out, Steve, also the mix.
Steve Barger: Right. And last question. Plus or minus, you're looking for $30 million in free cash flow, it sounds like. If M&A doesn't come together this year, how are you thinking about use of cash? Is this deleveraging? Is this just letting it sit, waiting for the next deal?
Pat Fogarty: Well, deleveraging is clearly our #1 course of action, but deleveraging always allows us -- we have the availability to do transactions, as I mentioned in my opening remarks. But the free cash flow will be used to deleverage.
Matthew Crawford: Yes. Steve, I -- as Pat said and I did, I want to emphasize that while we're focused on deleveraging, we still would hope to do a modest deal or two before the year is out.
Operator: Our next question comes from the line of Marco Rodriguez with Stonegate Capital Partners.
Marco Rodriguez: I was wondering if you could talk a little bit more about Assembly Components. Just want to make sure I'm getting all the information correctly here. You had, in prior calls, talked about the 3 new plants that were coming online in China and Mexico adding about an incremental $150 million of revenues in fiscal '20. And if I've heard you correctly on the call today, you're talking about 50 new products that are launching in fiscal '19 and those products are adding an incremental $125 million in '19? Is that correct?
Matthew Crawford: The answer is, yes. I think Pat mentioned the $128 million, which was, to a large extent, accretive or on a net basis. Not all, but a big chunk of it. We are still reasonably confident in that number we've said, the $150 million number. Unquestionably, we felt that was conservative at one point because we expected more out of China. It remains to be seen how strong that market is for us in terms of real demand. Once again, we've seen the quoting activity, we believe where we are strategically, we like our customer mix. But once again, demand remains to be seen given what's going on there. So we're not backing away from that number. We're starting to build -- we're actually building the order book and trying to give you real time feedback. But if anything has happened to sort of -- I won't say we're not walking away from it. But clearly, China has made the challenge a little more difficult.
Pat Fogarty: Yes. I'd add one more thing, Marco. In that -- the $125 million of incremental revenues that I mentioned earlier, spreads across 22 plant operations. It's a very diverse group of new orders. It's not just isolated within China, or it's not just isolated in Mexico, so -- which obviously, that diversification reduces the launch risk, and we expect continued activity in winning new business and continuing to launch product over the next 12 months. So it's an exciting time for that segment.
Marco Rodriguez: Actually, that's very helpful. And then in terms of the new product launches, a pretty diverse number across different areas. Your expectations of Assembly Components to revenue, do you expect revenues to ramp each single quarter, sequentially? Or do you expect it to follow a little bit more of your normal seasonality?
Matthew Crawford: I'll let Pat comment, but I -- we're trying not to comment quarter by quarter on the forecast. We tend to like to stick to our annual, but I think that, in general, we can say that, as I mentioned in my comments and Pat did, that we certainly like the second half ramp. And we're looking forward to getting into the meat of that.
Marco Rodriguez: Got you. And then a couple of housekeeping items here. Just on the -- some of the charges in the operate expenses. You mentioned a $1.4 million onetime expense at the cost of goods for plant closures, which you guys have discussed prior. But in the press release, you call it a $1.7 million charge. Where's the additional $300,000?
Pat Fogarty: It's corporate.
Marco Rodriguez: Got you. Is that also related to the plant closures?
Pat Fogarty: No. It's onetime employee-related severance costs as we've actively been seeking to reduce expenses across the board.
Marco Rodriguez: Got you. Okay. And then on the SG&A line, sequentially, at least from a historical perspective, you normally see an increase in your expenses. But this quarter, you had a bit of a decline sequentially. Is this kind of, to your point earlier, about the cost reduction strategies that you're putting into place?
Pat Fogarty: Yes. Exactly.
Marco Rodriguez: Okay. And are there other types of activities that you expect that might impact SG&A expenses on the lower side as the year progresses? Or are you kind of done with those items?
Pat Fogarty: I think the first quarter percentage of net sales is what I would use. Obviously, we continue to focus on controlling our expenses and will continue to do that. But I think the first quarter was indicative of where we should be for the rest of the year.
Marco Rodriguez: Got you. And then in terms of the cash flow from operation expectations, you've been pretty forthcoming with what those goals are. Just wanted to maybe kind of drill down into the changes in working capital that influenced it one way or the other? First quarter seems pretty normal in terms of the usage, but the cash conversion cycle itself for the last year or so has been kind of increasing. Obviously, there's some impacts there from acquisitions. Just kind of wondering how you're thinking about that and if you're going to be targeting any sort of activities on receivables or inventories or payables to kind of improve that cash conversion cycle.
Pat Fogarty: Yes. As I mentioned, we expect $60 million to $70 million of operating cash flow throughout the course of the year. We, on an ongoing basis, manage our working capital and provide each of our units with goals that we expect them to achieve. So in a normal course of managing cash flow, I would say, nothing unique relative to any new initiatives. It's the ongoing initiative of keeping our working capital at its lowest possible level.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mr. Crawford for any closing remarks.
Matthew Crawford: Great. Well, thank you very much for all of your interest and support this morning. Once again, I think that we did a nice job in a tough environment during the first quarter, and I think you'll begin to see the benefits of the investments on a more significant basis as the year goes on. So upward and onward. Thank you very much.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.